- : Esther Hong - Berenberg
Operator: Good day, and thank you for standing by. Welcome to the Concert Pharmaceuticals First Quarter 2022 Investor Update Call. [Operator Instructions]  I would now like to hand the conference over to Justine Koenigsberg, Senior Vice President, Corporate Communications and Investor Relations. Please go ahead.
Justine Koenigsberg: Good morning, and welcome to Concert Pharmaceuticals' First Quarter 2022 Investor Update. Our prepared comments today will be brief, so we can jump right into the Q&A portion of the call. Joining me this morning with prepared remarks are Roger Tung, President and CEO; and Marc Becker, Chief Financial Officer; Nancy Stuart, Chief Operating Officer; and Jim Cassella, Chief Development Officer, will join the team for Q&A.  As a reminder, today's discussion will include forward-looking statements about our future expectations, plans and prospects. These statements are subject to risks and uncertainties that may cause actual results to differ materially from those projected. A description of these risks can be found in our most recent 10-Q filed with the SEC. Any forward-looking statements speak only as of today's date, and we assume no obligation to update any forward-looking statements made on today's call. With that, I would now like to turn the call over to Roger.
Roger Tung: Thank you, Justine, and thank you, everyone, for joining us for today's update. With top line results from our pivotal clinical trials coming during this and the next quarter, we remain focused on bringing CTP-543 to the finish line. And assuming Phase III success, we're well positioned to file our NDA in the first half of 2023. Both of our Phase III THRIVE-AA clinical trials are randomized, placebo-controlled, double-blinded, multicenter studies evaluating the safety and efficacy of CTP-543 in adults aged 18 to 65 years old who have 50% or greater scalp hair loss. Each study is evaluating 2 doses of CTP-543, 8 milligrams and 12 milligrams twice daily compared with placebo for 24 weeks. The primary endpoint is the percentage of patients achieving an absolute SALT score of less than or equal to 20, which is believed to represent a clinically meaningful result. Our top line data announcement from THRIVE-AA1 will include its primary endpoint and key safety data. We'll look to present more detailed findings from the study at future medical meetings. Recall that in our Phase II dose-ranging study, both the 8-milligram and 12-milligram twice-daily doses achieved a significantly greater proportion of patients with a SALT score of less than or equal to 20 relative to placebo. For those not familiar with SALT or the severity of alopecia tool, it's a measure to determine the amount of scalp hair coverage by assessing 4 regions of the scalp that contribute to the total score which ranges from 0 to 100. The SALT score of 0 corresponds to no scalp hair loss while SALT score of 100 corresponds to a total loss of hair on the scalp. As we shared in the past, there could be up to approximately 1.5 million alopecia areata patients in the U.S. with a sizable subset having moderate-to-severe disease.  Currently, there are no FDA-approved treatments. Even with other potential players in the market, given the extent of patient need and the clinical profile we've seen to date with CTP-543, we believe it has blockbuster potential in the treatment of alopecia areata. We're hopeful that the Phase III results will confirm our Phase II and long-term open-label extension observations and that CTP-543 will be an effective and durable treatment for alopecia areata with a generally well-tolerated safety profile consistent with its intended use. Among the JAK inhibitors being developed for the treatment of alopecia areata, our Phase II results of CTP-543 appear to have a highly competitive profile, and we're working to bring it to patients as quickly as possible. I'd like to pause here and turn the discussion to Marc, who will provide an overview of our financial results.
Marc Becker: Thanks, Roger. As I review our first quarter 2022 financial results, please reference the financial tables found in today's press release. Research and development expenses were $30.5 million during the first quarter of 2022 and compared to $18.5 million during the first quarter of 2021. While the Phase III trials are winding down this year, we continue to have clinical costs associated with the open-label extension studies. The North American extension study is expected to continue until approval. General and administrative expenses were $5.5 million for both the first quarter of '22 and 2021. Our net loss for the first quarter was $37.7 million or $1.03 per share compared to a net loss of $22.7 million or $0.67 per share for the same period in 2021. We ended the first quarter of '22 with $109 million in cash, cash equivalents and investments, which we expect to fund the company into the fourth quarter of 2022 based on our current operating plan. We have the potential to receive an additional $103 million upon the full exercise of warrants that were issued in our November 2021 financing. The warrants are tied to the THRIVE-AA1 and AA2 data readouts. If the warrants are fully exercised, we expect our cash runway will extend beyond the anticipated NDA filing, which is planned for the first half of 2023. We are at an exciting inflection point for the company as we prepare to release top line THRIVE-AA1 data this quarter. We've worked hard to advance CTP-543 and assuming success, the team here is very excited about this drug candidate moving toward an NDA filing next year. This concludes our prepared remarks, and we would be happy to address any questions.
Operator: [Operator Instructions] Our first question comes from Jason Butler with JMP Securities.
Jason Butler: I mean obviously excited with the data coming up. Maybe you could just frame a little bit more based on the competitive landscape, what we should be looking for from the SALT 20? And then again, just current thoughts on safety language on approved products for the class and just how you plan to approach the FDA with regards to the 543 label?
Jim Cassella : Jason, Jim here. So I think our expectation for our Phase III trials are consistent with what we saw for our Phase II. So I think what we're looking for is consistency in the data readout on the 12-milligram and 8-milligram BID dosing. So I think we have good experience. We had a couple of trials in Phase II that gave us confidence in our trial design for Phase III, which is very similar to what we saw in our dose-ranging trial. So I think we're feeling pretty comfortable with the design and with the data we had entering into our Phase III study. So I think we're looking for a good consistency there as we had consistency in our Phase II trials. I think the competitive landscape, you've seen are Pfizer and Lilly competitors out there with data. I think our data is very competitive with what we've seen in Phase II and our expectation is that we'll see consistency with our Phase III results. I think as far as safety goes, the FDA has put language out there for JAK inhibitors across the dermatology and the atopic derm space. I think that everyone's coming to grips with the FDA position on JAK inhibitors, but I think there's going to be a little difference with alopecia areata, where there's no approved drugs for the treatment of alopecia areata. There might be some consistency in the safety language across the drugs. But I think the difference will be that alopecia areata is a significant unmet medical need. I think JAK inhibition is a very important mechanism in the treatment of alopecia areata. So it's very important for patients in terms of the mechanism here. And I think the data shows across the field that JAK inhibitors are very important as a mechanism to treat alopecia areata. So I think that's a very important consideration as we look at alopecia areata on the background of what the FDA has for from a safety perspective.
Jason Butler: Great. And then just one more for me. Can you speak a little bit to the medical affairs, the medical education planning that you're putting in place now for once you have data and starting to get physicians up to speed on and being aware of the product and your data set?
Jim Cassella : Sure, absolutely. As you can imagine, it's a very active area of interest for us. One thing just as a little bit of background is we are working with a lot of the KOLs in this space as trialist. We have a very good representation in the U.S. as well as Europe and Canada of a lot of the experts. These experts are treaters. I mean this is a space where the experience in treating alopecia areata are with these KOLs. And these KOLs are involved in the clinical trial. So we have a very good network of investigators who are probably the main treaters in the space as well. I also think that what we're seeing is for medical affairs, there's obviously going to be education of patients and education of other dermatology experts who are in the hair space. And I think those are going to be very important aspects of the medical affairs piece. We know that there's a lot of patients who have been in the -- who have alopecia areata who are maybe not in the mainstream of treatment because there's nothing available. So part of it is going to be to let them know that there's going to be treatment available and I think it will bring sort of that latent population back into the treatment pool as well. So part of the whole medical affairs thing is going to be to bring treating dermatologists of the speed on the JAK mechanism, the importance of it that it really does work and understand the safety profile of it, but also getting patients to be aware that there is now a treatment option available.
Operator: Our next question comes from Vamil Divan with Mizuho Securities.
Vamil Divan: Maybe one to follow up on the discussion there on the competitive landscape and then one other separate question. On the commercial side, I'm just curious, there's obviously Olumiant and some of the other JAKs on the market already. I'm curious how you're thinking about pricing in this market? It's obviously so mechanism maybe in the same drug in terms of Olumiant, but obviously, those are targeted for much larger patient population than what you'd be going after with alopecia. So I don't know if you can just share some of your thoughts on it. You got to see what the data holds in the next few months here, but what your thoughts are sort of going into that data. And then my second question is just around the ex U.S. opportunity. I think you guys have talked about this a little bit before. But just can you sort of share your thoughts at this point again, obviously, waiting for the data, kind of how do you view the ex U.S. opportunity for this product and how are you thinking about doing it yourself versus looking for a partner potentially?
Roger Tung: This is Roger. Thanks very much for the question. With regard to pricing, it's a little early for us to talk about it right now. We don't have our Phase III data yet. And frankly, it's -- I don't think it does us any good to discuss that prospectively. We have said in the past that we think that based on structure for alopecia areata is probably consistent with the pricing for other autoimmune and rheumatological diseases. And we know that drugs in that space are selling in the range of maybe the mid-20s to about 60,000 per patient here. But at this point, it's really early to talk [indiscernible] per se. In terms of ex U.S., we do have an interest, of course, in commercializing ex U.S. We do not see ourselves at this time building a sales force. We have some interest and some discussions ongoing...
Vamil Divan: Okay. I guess it is my line or something else, just a little bit faint on the reply, but I think I caught what you're saying.
Operator: Our next question comes from Maury Raycroft with Jefferies.
Maurice Raycroft : Just wondering if you can tell us where you are in terms of closing out the Phase III with database lock and analysis.
Jim Cassella : Maury, this is Jim. So I think what we can say is that things are on track for our data readout this quarter and things have been moving very nicely. As you can imagine, it's a large trial. Lots of data to clean and make sure is ready to go into database lock. I'm feeling very confident that we're going to hit our scheduled deadline, and we'll be reporting data this quarter.
Maurice Raycroft : Got it. Okay. And then also, I just wanted to ask how you're thinking about the PTAB decision on 659 patent expected next week. And if you can provide any specifics on what next steps are going to be for either outcome of that decision.
Roger Tung: Sure. Yes, this is Roger. Well, we feel like we had very good oral arguments that legal team, Concert's legal team did a great job. So we are very hopeful that we'll get a positive decision on that. And clearly, if we get a positive decision, we think that we're well set going forward well into the 2030s. If it is not a positive decision, we have the ability to and we intend to go to an appeal on that decision, which would probably involve either an appeal to the director or going directly to the U.S. Circuit Court of Appeals. And we think that we are in the right legally, so that's how we proceed. As I've mentioned in the past, we have other patent applications that are moving forward, which we think could also provide strong protection for CTP-543 and we'll move in parallel along with defense of the 659 and by the way, the 149 patents to gain additional intellectual property protection.
Operator: Our next question comes from Joon Lee with Truist Securities.
Les Sulewski: This is Les on for Joon. First, do you foresee any challenges in reimbursement discussions? Or do you think your competitors essentially paved the way for you, given that they are slightly ahead of filing.
Roger Tung: Well, I think there will clearly be education that's required to get full reimbursement here. This is a medical disease. And one of the things that we need to ensure that the payers understand is that this is an autoimmune indication. In discussions that we've had up to date when we have had initial exploratory discussions with payers, we believe that that's an argument that we'll be able to successfully make. But clearly, it's something that we'll have to work on rolling out the commercialization.
Les Sulewski: Got it. And then how should we model R&D expense tapering off as we head into the NDA filing? And at what stage will you kick off commercialization hiring.
Marc Becker : Les, this is Marc. So R&D will be tapering off. I mean we have the Phase III trials that are winding down this year and so clinically, those will be tapering off. But as you might imagine, as we prepare for commercialization, those costs will be coming back up. So there will be sort of a swishing of cost, if you will into '23 and then into '24. The OLE trial, by the way, is continuing right through approval, so that remains. But the actual Phase III themselves will be winding down.
Operator: [Operator Instructions] Our next question comes from Esther Hong with Berenberg.
Esther Hong: Congratulations on getting towards the finish line for CTP-543. So just it seems recently that there's been more pushback from FDA on NDAs than experienced a few years ago. And so I wanted to get your thoughts on some of this pushback, including some of the deficiency letters, any learnings from there that maybe are new that you're taking into account as you prepare your NDA? And then a quick follow-up.
Jim Cassella : Sir, this is Jim. So thanks. Great question. I think the most important thing for filing the NDA is to really make sure that you have the complete package that you need in terms of the -- all the data sets, the clinical, the nonclinical and the CMC. I think it's very important to make sure that you have an open communication plan with the FDA to make sure that the expectations are met from both sides. We have had good discussions with the FDA. We know what we need to do. We have a large safety database. We have the endpoints that we know have been agreed upon with the FDA for the Phase III, and we've seen consistently across the -- even the competitor trials. I mean, SALT 20 is really what everyone is looking for. So I think the key is really to make sure that we are really fulfilling our obligation as a sponsor to have all the data necessary for showing efficacy and safety. We have a very large safety database. We have long-term open-label extension study. We have some subjects that have been on the drug for over 3 years now. So I think we're doing our best to make sure that we are answering all the questions and checking all the boxes, including for some of the supportive studies, you'll see in our clinicaltrial.gov listing that we've done, DDI studies and things like that, that are also important for the filing as well. So it really is a matter of making sure that we have a good plan, and we have buy-in from the FDA and we've had good meetings with the FDA. Of course, we're not giving the details, but we will have pre-NDA meetings on both the CMC and the clinical side because those are expected and required, and we'll also be doing those as well. So we will be also confirming with the FDA on the NDA submission piece as well. So I think we're in good shape, and we really know what we're doing here.
Esther Hong: Great. And then just wanted to follow up, any updates on what you're seeing in the open-label extension study.
Jim Cassella : I think the bottom line with the open-label extension study is that, first of all, we've had a very high percentage of patients roll over into the open-label extension study. We have reported on that at previous meetings where we've done cuts of the data to date and I think it's fair to say that, that trend has continued throughout our program. There still is a lot of interest for patients to roll over from the Phase II or the Phase III studies into the open-label extension study. I think the take-home messages are really continuation of effect. And again, these are things that we've reported at meetings in the past. We've seen the maintenance of efficacy. We haven't seen any new or troublesome emerging adverse events that are of any concern. So I think that the long-term exposure is really being looked at very carefully in terms of safety and efficacy and I think we continue to see the similar profile that we saw and reported on from our Phase II trials, but I think that's really where we are with the open-label extension. No surprises in this case is a very good thing.
Operator: And I'm currently showing no further questions at this time. I'd like to hand the conference back to Justine Koenigsberg for any closing remarks.
Justine Koenigsberg: Thank you. We'd like to thank everyone for joining us this morning. If there are any follow-up questions, please don't hesitate to reach out. This concludes today's call. Thanks.
Operator: Ladies and gentlemen, thank you for your participation. You may now disconnect. Everyone, have a wonderful day.